Operator: Good day, and thank you for staying by. Welcome to the Stoneridge Second Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a Q&A session. [Operator instructions]. Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Kelly Harvey, Director of Investor Relations. Please go ahead.
Kelly Harvey: Good morning, everyone, and thank you for joining us to discuss our second quarter results. The release and accompanying presentation was filed with the SEC yesterday evening, and is posted on our website at stoneridge.com in the Investors section under Webcast and Presentation. Joining me on today's call are Jon DeGaynor, our President and Chief Executive Officer; and Matt Horvath, our Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature, and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties, and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ, may be found in our 10-Q, which has been filed with the Securities and Exchange Commission under the heading Forward-Looking Statements. During today's call, we will be referring to certain non-GAAP financial measures. Please see the appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. After Jon and Matt have finished their formal remarks, we’ll open up the call to questions. . I would ask that you keep your questions to a single follow-up. And with that, I will turn the call over to Jon.
Jon DeGaynor: Thanks, Kelly, and good morning, everyone. Before we begin with the specific results of the quarter, I want to recognize and thank the Stoneridge team for their continued dedication to the company and to our customers during this challenging period. Turning to Page 3. In the second quarter, we continued to navigate through macroeconomic challenges, including ongoing supply chain disruptions, production volatility, and rising material costs. During the quarter, we also experienced significant foreign currency headwinds, primarily related to European currency exposures. We focused on responding to fluctuating production schedules, securing material, managing our cost structure, and continuing to engage with our customers and suppliers on cost recovery actions. Our second quarter adjusted sales of $205.7 million, resulted in an adjusted gross margin of 18.7%, translating to an adjusted operating margin of negative 3.2%. Adjusted EPS for the quarter was negative $0.29. Second quarter adjusted EPS performance was impacted by net foreign currency headwinds of approximately $0.06 versus previous expectations. We continued to offset a large portion of the incremental material and supply chain-related costs through pricing actions and pass-through of costs. We have offset approximately 90% of incremental costs year-to-date relative to last year. Additionally, we continue to pass the majority of spot purchases through to our OEM customers, offsetting more than $15 million in spot buys in the quarter. We will continue to evaluate macroeconomic conditions, and expect ongoing discussions with our customers regarding price increases and other cost recovery actions.  We remain focused on the growth initiatives that will drive long-term profitable growth. During the quarter, we continued to make progress with our MirrorEye platform, focusing on our first OEM program launch in Europe, and the continued expansion of our retrofit programs. Take rates in Europe continued to exceed prior expectations, and customer production forecasts suggest take rates will continue to rise as material becomes more readily available, and customer truck production continues to shift to new models. This morning, we are updating our full year guidance to reflect current market conditions, as well as second quarter performance. We're lowering our midpoint adjusted sales guidance by $15 million to reflect slower than expected improvement in customer production volumes despite continued strong end market demand. Therefore, we are updating margin expectations to reflect reduced fixed cost leverage on these lower sales expectations. Additionally, we expect ongoing non-operating headwinds related to incremental tax and interest expense. As a result, this morning we are reducing our full year adjusted EPS guidance to a midpoint of negative $0.20. Matt will provide additional detail on our full year guidance later in the call. Page 4 summarizes our key financial metrics relative to the prior quarter. During the quarter, we saw continued strong performance in our commercial vehicle and off-highway end markets, offset in part by continued customer production volatility. In addition, the continued ramp-up of new programs, including the first OEM MirrorEye program, as well as incremental pricing actions, contributed to higher sales during the quarter. Second quarter sales were unfavorably impacted by foreign currency by approximately $1.6 million. Excluding the impact of foreign currency relative to Q1, we experienced an adjusted revenue growth of approximately 5% quarter-to-quarter. Excluding the impact of foreign currency, second quarter’s adjusted gross margin declined by 140 basis points relative to the first quarter of 2022. Within the quarter, we incurred incremental expenses related to specific non-recurring inventory adjustments that impacted our gross margin by approximately 70 basis points. We do not expect that our run rate gross margin profile will be impacted by these items. We expect that revenue growth in the second half of the year, combined with improvement in our operating performance, and continued careful cost control, will drive expanded gross and operating margins, creating a strong run rate into 2023. Slide 5 provides an update on supply chain-related costs and actions taken to offset incremental costs in 2022. Material costs continue to rise. However, we have agreements in place with customers to offset a large portion of these costs. That said, we continue to face headwinds on material costs, and expect that additional pricing actions and supply chain strategies will be necessary going forward. Excluding the material spot buys passed through to our customers, we were able to offset approximately 90% of the incremental supply chain costs experienced year-to-date, primarily driven by price increases and cost recovery actions. We recognize there is continued risk in the overall supply chain as markets externalities continue to drive increased material costs and limit material availability. Overall, we expect the impact of material costs, net of recoveries, to remain neutral versus our previous expectations. We continue to work with our suppliers and customers to put actions in place to recover, not only incremental costs, but strengthen our gross margin, as supply chain issues continue to ease. Turning to Page 6. During the quarter, we announced that Kevin Heigel, our Senior Vice President of Integrated Supply Chain, has returned to a consulting role for the company effective July 1. As a result, we announced the appointment of Sal Orsini as Chief Procurement Officer, to lead our global procurement organization, and Archie Nimmer, the Current Vice President of Operations, to lead our Global Operations. Sal brings more than 25 years of global supply chain management experience in the automotive and aerospace industries, leading procurement organizations around the world, while living in Asia Pacific, Europe, and Mexico. Sal will be focused on executing our company strategy through all aspects of the company's global procurement organization, including supplier quality and global supply chain strategy. Archie Nimmer, the current Vice President Of Operations, will continue to lead our Global Operations team, and join my staff. Since joining Stoneridge in 2017, Archie has played an integral role in shaping our operations organization. Archie will continue to execute on our strategic objectives with a focus on continuing to drive operational excellence globally for the company. Turning to Page 7, market demand continues to be strong for the first OEM MirrorEye program that launched in Europe in late 2021, with take rates averaging approximately 35%. That said, production has been limited due to supply chain constraints on certain components, and as a result, is constraining take rates in 2022. Based on discussions with our OEM partner, we expect the take rate will continue to expand as supply chain issues subside, and are forecasting the take rate to be greater than 50% heading into next year. This has the potential to drive significant revenue upside and strong contribution margins going forward, as the existing program continues to expand. It is also important to note that our customer is still transitioning from an old model to a new model production, and as such, not only do we expect a tailwind from overall take rate percentage, but also in overall vehicle volume, as that take rate is applied to only the new model production. Based thereon, we are estimating at least $40 million in MirrorEye sales on our first OEM program in 2023. Year-to-date, we have recognized approximately $7 million in MirrorEye OE sales. In addition, based on the take rates for the current program, we are optimistic that take rates for future program launches will exceed prior estimates. This has the potential to drive significant revenue upside and earnings potential. We believe the initial OEM take rates are strong indicators of future performance for the system. We will continue to invest the necessary resources and effort to expand on our current successes and accelerate MirrorEye’s adoption through all of our channels. The last two years have been challenging for our industry, and we have battled every day to continue to drive performance in the business and make progress against our long-term strategic plan. Moving to Slide 8, I think it’s important to take a moment to step back and reflect on our progress, despite the macroeconomic challenges we have and expect to continue to face. Over the last several years, we have effectively transformed the company's product portfolio to align with industry mega trends, including electrification, safety, and vehicle intelligence. Through continued investment in advanced technologies and product platforms aligned with those underlying growth drivers, we have built a robust five-year backlog of awarded business of $3.4 billion. This alignment supports significant topline growth moving forward, with the expectation of $1.5 billion in revenue by 2026. This represents significant market outgrowth, and a compound annual growth rate that exceeds 9%. We have developed this growth trajectory while also aligning our portfolio with the power trains that will drive our industry forward, as more than 85% of our product portfolio is expected to be drivetrain agnostic by 2025. We expect that this level of growth, coupled with our continued focus on operational performance and cost structure optimization, will drive significant margin expansion. We expect contribution margins of 25% to 30% going forward, aligned with our historical performance, driving EBITDA margins of at least 12.5%, and up to 14% by 2026. Our successful cost recovery actions through price increases and pass-through of incremental material costs, as well as efficient operations and supply chain strategy, have contributed to margin stabilization, despite the significant macroeconomic headwinds we have faced since early 2020. We will bring about this transformation through strict allocation of resources, creating global capabilities, cost savings, and technology platforms to accelerate the growth and financial performance of the company. Our focus on the MirrorEye platform has positioned us well to drive continued growth of existing programs, facilitate incremental awards, and expand retrofit opportunities. We have invested a significant amount of engineering resources in the MirrorEye platform, and we are now at an inflection point where our investments are starting to pay off. While much of the discussion of our expected growth has been centered on MirrorEye, it is important to remember that our Control Devices segment has transformed significantly over the last several years, and has a product portfolio aligned with powertrain electrification, that positions the segment for sustainable growth. And it's easy to fixate on the macroeconomic challenges we have faced over the last several years, because they've been substantial and had a significant impact on our financial performance. That said, we continue to execute on our long-term strategic plan that positions Stoneridge to significantly outperform our end markets, drive significant margin expansion, and ultimately deliver shareholder value through long-term profitable growth. With that, I'll turn it over to Matt to discuss our financial results in more detail. 
Matt Horvath: Thanks, Jon. Turning the Slide 10, adjusted sales in the second quarter were approximately $206 million, an increase of 4.6% relative to the prior quarter. Adjusted operating loss was $6.5 million or negative 3.2% of adjusted sales, which decreased by 170 basis points versus the prior quarter. The decline in margin performance is primarily due to the negative impact of foreign currency of approximately $1.6 million, as well as non-recurring inventory adjustments related to specific expenses within the quarter of approximately $1.5 million. These incremental expenses were offset by the continued impact of pricing actions and reduced operating expenses, as we continue to right-size our cost structure to align with current market conditions. It is important to note that these price recoveries dilute margin, as they are accounted for as both incremental material costs, and corresponding incremental sales. This impact is amplified as gross material costs continue to rise.  As Jon discussed earlier in the call, we are adjusting our full year 2022 guidance to reflect second quarter performance, which was primarily impacted by foreign currency headwinds, as well as current market conditions. We are reducing our midpoint adjusted revenue guidance by $15 million or 1.7% to reflect slower than expected improvement in customer production forecasts, driven primarily by material shortages, despite continued strong end market demand. We are reducing gross margin by 75 basis points and operating margin by 50 basis points to reflect reduced fixed cost leverage on reduced sales expectations, offset by reduced cost structure. Additionally, we expect incremental tax expense, FX headwinds, and interest expense. This results in a reduction to adjusted EBITDA margin guidance of 75 basis points, and a reduction to adjusted EPS guidance of $0.17, resulting in a midpoint of negative $0.20. I will discuss the specific drivers of our adjusted guidance in more detail later in this call. Page 11 summarizes some of the significant second quarter drivers of adjusted earnings per share relative to the expectations we outlined on our first quarter call. There were several key items that impacted operating performance during the quarter. As we discussed previously, we continued to experience production volatility in the second quarter due to component availability and other supply chain limitations impacting customer production schedules. This resulted in continued manufacturing and efficiencies and incremental costs within the quarter. As Jon discussed in detail previously, the impact of incremental material costs in the quarter, were relatively in line with our prior expectations, as we continue to offset a significant portion of rising costs with price recoveries, both within the quarter, as well as costs related to prior periods. We continue to engage our customers and suppliers in negotiations to recover costs and improve our gross margin run rate as supply chains return to normal.  During the quarter we experienced non-recurring inventory adjustments that amounted to approximately $1.5 million. These adjustments included reducing inventory balances to reflect current forecasts. We do not expect that these specific issues will impact our gross margin run rate. Excluding these one-time expenses, as well as the unfavorable impact of foreign currency in the quarter, our gross margin would have been approximately 20.4%. Offsetting these negative impacts will reduce SG&A and engineering spend versus prior expectations, as we continue to carefully monitor spending, and align our cost structure with current market conditions. In total, cost reductions approximately offset operating performance headwinds during the quarter, resulting in approximately negative $0.02 of net impact. More significantly, second quarter performance was impacted negatively by foreign currency, primarily in our European entities. We offset a large portion of the FX-related headwinds by unwinding and monetizing our net investment hedge positions in the quarter, recognizing approximately $3.7 million of benefit. We will continue to look for opportunities to take advantage of market conditions where possible going forward, and carefully monitor global currency markets relative to our exposures to reduce the impact of currency volatility on our financial performance. In summary, our adjusted earnings per share were approximately $0.08 lower than the expectations we outlined on the first quarter call. This was driven by $0.02 of operating performance, and $0.06 of FX headwinds. Page 12 summarizes our key financial metrics specific to Control Devices. Control Devices second quarter sales were approximately $85 million, which was in line with the first quarter. This was primarily due to continued actuation program ramp-ups, offset by continued volatility in OEM customer production schedules, and COVID-related shutdowns in China. We expect revenue growth in the subsequent quarters for Control Devices, as lockdowns continue to ease in China, and North American passenger car production improves for our key customers. Operating income was $4.1 million for the quarter, or 4.8% of adjusted sales. Operating margin decreased by approximately 320 basis points versus the first quarter of 2022, driven primarily by the timing of a favorable SG&A benefit recognized in the first quarter, as well as higher material costs. We expect Control Devices sales and operating margin to improve sequentially throughout the remainder of the year, as we take advantage of forecast of incremental volume and execute on our initiatives to offset incremental material costs and drive operational performance in our manufacturing facilities. Page 13 summarizes our key financial metrics specific to Electronics. The Electronics second quarter adjusted sales, excluding the unfavorable impacted foreign currency of $1.8 million, were approximately $117 million, an increase of 8% versus the prior quarter. Revenue growth was primarily driven by higher sales in our commercial vehicle and off-highway end markets, and continued ramp-up and expansion of our digital driver information systems, and our first OEM MirrorEye program. Operating loss, excluding the unfavorable impact of foreign currency of $2.1 million, improved by approximately 210 basis points relative to the first quarter, primarily due to favorable net engineering spend, and the timing of customer reimbursements, as well as favorable SG&A spend. This was offset by higher costs due to inflation, and the previously discussed one-time inventory adjustments of approximately $1.5 million, which negatively impacted the quarter. We continue to expect strong revenue growth in 2022, with strong demand across our end markets, as well as the launch and ramp-up of several large programs, including our first OEM MirrorEye program, as Jon discussed previously. Operating income is expected to continue to improve as we stabilize gross margin with cost recovery actions, and carefully control our operating expenses to ensure strong fixed cost leverage with revenue growth. We continue to expect that Electronics margins will expand sequentially, creating a strong run rate heading into 2023. Page 14 summarizes our key financial metrics specific to Stoneridge Brazil. Stoneridge Brazil's second quarter sales, excluding the favorable impact of foreign currency of $700,000, increased by $600,000, or approximately 4.8% relative to the first quarter of 2022, due primarily to the impact of typical sales seasonality. Adjusted operating income, excluding the favorable impact of foreign currency of $400,000, declined by approximately $0.5 million relative to the first quarter, primarily due to slightly higher SG&A and D&D spend. Despite continued macroeconomic challenges in Brazil, we expect revenue and operating margin to remain relatively flat in 2022 as compared to 2021. We remain focused on the ramp-up of local OEM business, and efficient management of variable costs to offset economic headwinds. Page 15 summarizes our expectations for full year adjusted EPS. We are reducing the midpoint of our adjusted EPS guidance to negative $0.20, which represents a $0.17 reduction relative to prior expectations. As discussed previously, the second quarter underperformed our prior expectations, driven primarily by $0.06 of FX headwinds. We are reducing our adjusted revenue midpoint guidance by $15 million or approximately 1.7% to a range of $855 million to $875 million. Despite continued strong production forecast by our customers, we expect the material availability and global logistics dynamics, will continue to create volatile production schedules for the remainder of the year and reduce customer production capabilities. We expect a strong volume tailwind as material challenges subside into 2023. We expect the reduction in revenue to impact adjusted EPS in the second half by approximately $0.11 based on our decremental contribution margins of 25% to 30%.  Despite expectations of continued material cost increases, we expect that the pricing actions we have taken, and will continue to take, will keep material cost headwinds in line with our prior expectations. As interest rates continue to rise, we are forecasting moderately incremental interest expense for the remainder of the year, resulting in a $0.03 headwind. We expect incremental tax expense of approximately $500,000 due to our forecasted geographical mix of earnings, and expected US tax on foreign operations, resulting in a $0.02 headwind for the remainder of the year. In total, we are expecting second half headwinds related to reduced revenue expectations and incremental non-operating expenses. We expect to offset a portion of those headwinds based on run rate operating expenses and continued reductions in our cost structure to align with current market conditions. We expect the majority of the reduction will impact the third quarter, as production volumes have been slower to ramp-up than previously expected. We expect third quarter performance to be approximately breakeven earnings per share, with a significant improvement in the fourth quarter, and a strong run rate from both a top and bottom-line perspective, as we head into 2023. Moving to slide 16, we continue to focus on controlling costs that are within our control, and offsetting macroeconomic headwinds to the best of our ability. We expect to efficiently execute and respond to the continued supply chain headwinds, and take advantage of incremental revenue, as production schedules continue to stabilize throughout the remainder of the year. As Jon discussed earlier in the call, Stoneridge is committed to driving shareholder value, and that focus remains at the forefront of all of our strategic initiatives.  With that, I will open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Justin Long of Stephens. Your line is now open.
Justin Long: Thanks, and good morning. So, I guess I wanted to start with the guidance, Matt. It was helpful to get that color on the cadence of EPS breakeven in the third and then a pretty big ramp in the fourth. Could you share what your expectations are for the cadence in revenue and EBITDA moving through the back half?
Matt Horvath: Yes, of course. Good question, Justin. Obviously, we do expect a significant ramp in the second half. That's aligned with, not only the production forecast that we see, but also several of our customers' public comments around easing material limitations and really strong end market demand. So, we're expecting revenue to ramp stronger from the second to third, and then again from the third to fourth. And that would translate to an EBITDA that, aligned with our guidance, would be kind of mid-single-digit margin in the third quarter, ramping to close to - high single digits, close to 10% by the end of the year, as we look at an exit run rate. That's aligned, Justin - if you look at the second to third quarter progression, that's aligned with our - kind of the high end or a little bit greater than the high end of our historical contribution margins, if you think about kind of the impact of FX and the inventory stuff we talked about in the second quarter, which we see as reasonable given the fact that we've taken cost reduction actions that we expect to continue for the remainder of the year, and the fact that as you get some incremental revenue - some significant incremental revenue, we always expect to contribute at the high end of that range as revenue ramps up faster. So, we expect stronger revenue progression from the second to third, with continued from the third to fourth, and kind of mid-single digit EBITDA margin in the third, ramping to close to 10% by the end of the year.
Justin Long: Okay. That's helpful. And as I think about that and your exit rate this year from an EBITDA perspective, high single digit, close to 10% margins. If I just kind of back into the implied EPS in the fourth quarter, at the midpoint of the guidance, it's $0.36. I mean, that's a significant swing. I guess, just from a high level, can you talk about your visibility to that implied fourth quarter guidance? And as we move into 2023, is taking a kind of run rate of this fourth quarter a good starting point for next year?
Matt Horvath: Yes. So, we always have a little bit of seasonality in the fourth quarter, Justin, when you get engineering reimbursements and the timing of some expenses. So, we always get a little bit of benefit from an earnings perspective in the fourth quarter. When you couple that with some strong ramp-up over a relatively short period of time on the topline, you get contribution margins that are really strong. So, we think it's reasonable to expect a really strong ramp-up from an earnings perspective heading into the fourth quarter. From a run - and to answer your question on visibility, we are continuing to street see extremely strong demand in our end markets, not only the OEM markets, but the aftermarket. When you think about Orlaco and some of the things that we do off-highway, we're seeing really strong, continued demand in those markets. When you couple that with easing material availability as we get into the fourth quarter certainly, like we talked about, MirrorEye has a potential to continue to accelerate from a take rate perspective. And we expect that to even accelerate further as we get to 2023. So, we have good visibility into the continued strong demand. We are seeing some material easing, which gives a little bit of that demand - some material limitations easing, I should say, which gives that demand a little more credibility as we head into the second half of the year. One of the things that I would note here, Justin, is, spot buys seem to be a good leading indicator on material availability. And we are seeing spot buys reduced from the first to second quarter, which suggests that we should continue seeing material easing as we get in the second half of the year. So, we're seeing really strong demand. Our customers are publicly talking about extremely strong demand. So, we think that the ramp in the second half is viable. And from an earnings perspective, it should follow pretty closely. And like you said, going into 2023, as material issues subside, we think that we've got obviously a very strong contribution margin, perhaps even some upside to things we talked about previously when we think about MirrorEye take rates and volume. So, we think there's a really strong run rate heading into 2023.
Justin Long: Okay. And last thing I wanted to ask about was MirrorEye. It was good to get the update on your take rate expectations in a normalized supply chain environment. But I was wondering if you could provide an update on MirrorEye retrofit activity, what you're seeing here recently. And maybe on the 2022 guidance, what's getting baked in from a MirrorEye perspective, both OE and retrofit.
Jon DeGaynor: So, Justin, it's Jon. We're excited both on the progress on the take rates for the first OEM program, as we talked about during the call. And again, that's - those take rates are far exceeding what we put in our backlogs and what our customers initially anticipated. And what we're seeing is just the market acceptance for the product is huge. There, we are constrained by material, and both the - our customer and we are working with the supply chain to try to break those loose. And we expect to see that - it's one of the reasons why we feel so confident in the second half, or feel more confident in the second half. And that also then portends well for the next programs, because the level of success there from one OE will or should read across. With regard to the fleet, we continue to expand our fleet trials and continue to see greater acceptance as they’re hearing about the OE side, but also hearing about the results from specific fleets that we've talked about, like Maverick and Schneider. So, we're bullish on both sides, really proud of what the team is doing on both the OE and the retrofit side, and look forward to what that means in the end of the year 2023.
Justin Long: Okay. Thanks. And Matt, I guess on the revenue guidance, is there anything you can share on what's baked in for MirrorEye this year?
Matt Horvath: Yes, sure. Yes. So, year-to-date, like we talked about, we've recognized about $7 million in OE sales. That has been constrained even up till now, obviously, by material. So, we expect that to improve sequentially as we go forward. There is an incremental portion that's retrofit as well. I think we talked about at the beginning of the year, kind of $15 million to $20 million of total MirrorEye sales OE and retrofit. And I would think that we stay within that range, even with the material constraints through the remainder of the year here.
Justin Long: Got it. Very helpful. Thanks, Jon. Thanks, Matt.
Kelly Harvey: All right. Thank you, Justin. I would now like to turn it back to Jon DeGaynor for closing remarks.
Jon DeGaynor: I want to thank everybody for your participation in today's call. I just want to close by saying that we can assure you that the company is committed to continuing to drive shareholder value through strong operating results and profitable new business and focus deployment of our available resources. This management team will respond, has responded, and will continue to respond efficiently and effectively to manage and control the variables that we can impact to drive those strong financial results. We're confident in our actions. We'll deliver great results in the balance of the year and beyond. Thanks very much.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.